Operator: Good morning, ladies and gentlemen. Thank you for standing by. At this time, all participants are in a listen-only mode. As a reminder, today's conference is being recorded. Now I would now like to turn the conference over to Christina Cheng, Senior Director of Investor Relations. Please go ahead.
Christina Cheng: Thank you. Good morning, and welcome to DSW's Second Quarter Conference Call. Earlier today, we issued a press release detailing the results of operations for the 13-week ended July 29, 2017. Please note that various remarks made about the future expectations, plans and prospects of the company constitute forward-looking statements. Results may differ materially from those indicated by these statements due to various factors, including those listed in today's press release and our public filings with the SEC. We assume no obligation to update or revise these forward-looking statements. Joining us today are Roger Rawlins, Chief Executive Officer; and Jared Poff, Chief Financial Officer. Let me now turn the call over to Roger.
Roger Rawlins: Thanks, Christina, and good morning. We were pleased to report our first positive quarterly comps since 2015. Our results show how our strategy of product differentiation and customer centricity is resonating with DSW customers. Our largest category women's turned positive this quarter and marked the first time that women's business achieved its original plan since 2014. With our focus on execution, we drove a mid single-digit comp increase in regular price product during a typically clearance-dominated quarter. We reduced clearance markdowns and we ended the season with 10% less inventory. We competed effectively during one of the largest promotional events this quarter, and with the successful expansion into categories by kids and athletics, we have increased our ability to capture market share of new customers. We saw a sequential improvement across all selling metrics, and with disciplined expense management, our operating profit improved to a healthy rate. As you can see, our first half results give us confidence that we are on the right track. Let me turn the floor over to Jared to discuss our second quarter performance and our outlook.
Jared Poff: Thank you, Roger, and good morning. Total company sales increased by 3% to $680 million, driven by a 1% comparable sales increase at the DSW segment. Our second quarter performance resulted in a 2% top line growth for the first half of the year. Second quarter reported earnings of $0.35 per share included the following: $2.5 million or $0.025 per share related to Ebuys acquisition cost and restructuring expenses, and $700,000 or less than a penny of share related to foreign currency loss on Canadian dollar investments. When we exclude these items, adjusted earnings of $0.38 per share increased by 9% over last year; year-to-date adjusted earnings were $0.70 per share compared to last year's $0.75 per share due to our incremental clearance rotation during the first quarter this year and the ongoing integration of the Ebuys. The rest of our comments will refer to adjusted results. Let's start with the Designer Shoe Warehouse segment, where sales increased by 4%. We extended the positive momentum from April into the second quarter with a sequential improvement across all selling metrics. Our successful site redesign significantly improved conversion and increased mobile traffic, both of which drove a 27% increase in digital demand. Having seen the increased penetration of digital demand during the last two years, we are confident that our new capabilities will improve DSW's ability to win this holiday selling season. Our warehouse strategy is playing a significant role in driving digital demand with an increasing degree of synergy between our physical footprint and the digital experience, from online returns and exchanges to cross-channel fulfillment and speed. Furthermore, we have found a strong and direct correlation between digital demand growth in a geographic market and the existence of a brick and mortar warehouse. Given our physical proximity to the customer, an increasing number of shoppers are choosing to shop online and pick-up in store, which shortens lead times from three to five business days to two to four hours. Furthermore, our warehouses serve as local return and exchange centers for online purchases. We are now able to engage with our customer across any medium that she desires, and we will continue to take her lead as she evolves. The strong customer response to our merchandize initiatives resulted in a positive comp in the women's business and an increased mix of regular price sales. We were pleased to achieve our original plan with a higher degree of freshness. Our favorable liquidity position enabled us to react to the increased sandal demand this quarter while bringing in new receipts for the transitional period. The at-leisure category continued to outperform with growth in both performance and fashion athletic areas. We are putting exciting new athletic-inspired fashion into the assortment with new brands and exclusive offerings to feed the strong demand. The men's category also posted a sequential improvement during the second quarter. We welcome our new GMM for men's and athletic, [Kurt Pearson] [ph], who brings a wealth of valuable experience from Foot Locker, Dick's Sporting Goods, and Academy Sports. Under Kurt's leadership, we will continue to reposition our men's business with an increased distortion towards the casual lifestyle. We continue to be pleased with our new Kids business. We successfully completed the second phase of our Kids rollout bringing Kids to 60% of our warehouses, but available all the time through our digital experience. Our data shows we are attracting a new younger customer, and as a result, we have identified opportunities to add Kids to an additional 100 locations next spring. On the power store initiative, we were able to deliver a more tailored merchandize assortment, which is starting to improve conversion and comp trends. Our renewed focus on talent and leadership has resulted in an experienced team that understands what it takes to operate these critical high-volume power stores. For the second quarter, our power stores closed the gap with the balance of the chain, an improvement of 300 basis points of comp from where they performed in FY'16. We are less than a year into our power store initiative, and we will continue to report on our progress later this year. We opened two new warehouses for a total of 510 DSW locations. Our disciplined inventory management, improved sourcing, and markdown management more than offset higher shipping cost and marketing promotions. Segment gross margin dollars outpaced top line growth with an 8% increase and a 110 basis point improvement in gross margin rates. Turning to our ABG group, comps at the ABG division were flat to last year, an improvement from first quarter's 2% decline. Revenues declined by 12%, driven by the plan to exit Gordmans, which closed 30 stores at the start of Q2. We focus on liquidating residual goods within existing locations, which resulted in less gross profit dollars, but gross profit margin improved by 20 basis points over last year. We will continue to operate the remaining 58 stores acquired by Stage through the end of this year. Turning to inorganic growth, we began consolidating Ebuys four legacy distribution centers into a new facility in Nashville, Tennessee. We closed one facility this quarter and expect to complete the transition before year end. We will prioritize Ebuys operational transition this year, which will slow its top line run rate over the next few months that will prepare the business for the important holiday selling season. Ebuys revenues increased 6% during the second quarter. As a result of operational alignments and the DC consolidation, we incurred incremental transition expenses of $3 million during the quarter and $5 million year-to-date, which drove lower gross margin dollars this year. We recorded $219,000 in income from our equity investment. We opened one new DSW Canada location this quarter for a total of 24 warehouses, in addition to 161 locations that operate under the Town Shoes Shoe Company and Shoe Warehouse banners. We have also started implementing a new financial system that will facilitate the eventual consolidation of this business. Let me share a few more details about our Q2 financial performance for the total company. We were pleased with the gross margin trends in our core business, which increased 120 basis points due to improved sourcing, less clearance, and lower markdowns. The unfavorable impact from reserve adjustment and inventory management and Ebuys however reduced this gain to a 50 basis point increase for the second quarter. Year-to-date gross margin was 65 basis points lower than last year, primarily due to the integration of Ebuys and the addition of the extra clearance rotation in Q1. Expenses increased 5% due to planned higher technology and incremental selling expense. As a percentage of sales, our SG&A rate de-leveraged by 30 basis points. Marketing spend was flat as a percentage of sales for the quarter, but will increase as we invest in marketing during the back half. I would like to spend a few minutes on our balance sheet. We have diligently managed our inventory position to ensure a high level of freshness, provide liquidity to chase, and manage markdowns. We came into Q2 with inventories down 2.6% per square foot. During the quarter, we generated a regular price selling comp increase in the mid single-digits offset by a clearance selling comp decrease in the high-teens, which was in line with our clearance inventory position. We then ended the second quarter with inventory on a per square foot basis down 10% to LY, excluding Ebuys and Gordmans. We have been pleased with the results of the strict inventory management, which contributed to higher gross margin dollars and rate versus LY. With our inventories clean, we expect the declines to LY to begin to moderate as we look to further fund key items and positive comps through fall. We ended the quarter with $271 million in cash and investments. We have received over $470 million in firm commitments from our bank group supporting our new $300 million unsecured revolving credit facility that will replace our existing $100 million secured revolver. We are putting the final touches on papering the transaction and expect to close this week. The strong liquidity position gives DSW ample financial flexibility to fund the future needs of our business and execute strategic initiatives in a tighter and more volatile credit environment. On the investing and capital return front, last week, the Board authorized an additional $500 million of share repurchases on top of the $33 million remaining in our existing authorization. As we have done in the past, we will assess the dynamics of the market and the expected sources and uses of cash and execute any share repurchases opportunistically. As a reminder, we have returned close to $600 million to shareholders in the form of dividends and share repurchases since 2013. CapEx spending for the quarter was $10 million, and we expect to incur the lowest level of capital spending in the last six years as we opened fewer stores and shift more dollars towards technology spending. With additional store maintenance and capitalized IT expenses, we expect full year CapEx of approximately $70 million for the full year. Let me share our perspective on our 2017 outlook, which we maintained at a $1.45 to $1.55 in adjusted earnings per share. This outlook assumes a flat comp for the full year, the opening of 11 to 13 net new locations for DSW and more modest growth expectations for Ebuys, which brings us to a full year revenue growth in the 3% to 4% range. In anticipation of retail closures and choppiness in the current environment, we believe it is prudent to plan inventories for a conservative sales expectation. While this limits markdowns, it preserves open to buy liquidity to chase into trending items as we did during the second quarter. At the same time, we have chosen to invest in marketing this fall to reinforce DSW's mind share in our trading areas and compete fiercely in the balance of the year. We will continue to find ways to optimize markdowns and maximize selling opportunities as they arise. In addition, we will continue to drive operational efficiency, both on the COGS and expense lines that will be accretive to the bottom line, while using some of these gains to fund market share initiatives longer term. Our guidance assumes lower full year gross margin as we cycle against sourcing benefits last year, invest in market share and plan for higher transition costs from Ebuys in the back half. SG&A expenses are expected to grow in the low single-digit range this year. Our Board and Management team strongly believe that DSW is one of the few retailers with significant runway for growth, and we are positioned to acquire share during this retail consolidation. We are committed to delivering a strong value proposition, and we believe by elevating the customer experience and strengthening our brand relationship, DSW will stand out and be the retailer trust for all times footwear. Let me turn the floor back over to Roger.
Roger Rawlins: Thanks, Jared. I'd like to spend the next few minutes taking you along our journey towards accomplishing our mission for the DSW brand. Over the past year, we've been working to answering the question that many of our shareholders have asked, "What are you doing to differentiate DSW in this dramatically changing retail landscape?" In an environment we are spending on technology, healthcare, and durable goods has squeezed discretionary spending. Customers have become more product and experience-oriented than ever. And as a result, operators who compete solely on transactions and price can offer no differentiated experience or customer connection have lost relevance in competitive appeal. As we've already have seen across multiple sectors of retail, office supply, electronics, sporting goods, at the end of the day only the strongest will survive. And DSW will be one of the few survivors in this retail consolidation. As we look at the retail landscape and assess, what truly separates the retailers with opportunity from those that are simply melting away, the key differentiator is a relentless obsession with deepening the connection with the customer and creating the experience you can only find through engagement with you. At DSW, our passion to innovate coupled with our willingness and ability to invest has allowed us to grow and strengthen our relationship with our customers and ultimately led us to our simple but powerful mission to inspire self-expression. We know that shoes are more than just a necessity. They are an extension of yourself. They help you tell the world what you are made of. People love their shoes, because of the way they make them feel. That's where we come in. We foster our customer self-confidence by giving them access to a vast assortment of great products, because the amazing thing about shoes is the right pair of shoes lets your personality shine, and the right pair of shoes can make you feel like a whole new person. Let me share with you a brief story about how shoes inspired self-expression in me. When I was in the seventh grade, yes, seventh grade, I was on the basketball team. Now I wasn't all that great, and in fact I was the 12th man on a 12-man team, if that tells you anything. But that was the year I got a new pair of Converse leather sneakers. I remember the first day I strap those on, I felt invincible despite never entering the game. I was Larry Bird. I know firsthand how the right pair of shoes can let a kid from the middle of Ohio feel like an NBA All-Star. Those shoes certainly inspired me to express myself both on and off the court. That's the kind of experience and emotional connection we will create with our customers. This mission feeds our vision to be the obvious first choice for shoes. Just your emotion and inspiration with engaging experiences we like to call music for your feet. We have a three-pronged approach to carrying out our mission. First, we are launching a revamped and elevated rewards program that goes beyond transactional-based points, and introduces services and experiences. Additionally, we are bringing the warehouse to life through an exciting and innovative new store design. And finally, we are co-developing new technology that empowers our associates to deliver differentiated and seamless customer experience. Let me share with you a few more details on each of these. First, DSW pioneered the loyalty program for footwear. With our 25 million customers that we engage within a regular and personalized way, we are putting the finishing touches on the totally new loyalty program that will bring new and differentiated experiences and services to our most loyal customers. The new rewards program will be structured to allow customers to earn rewards quicker with compelling incentives to buy more to unlock additional value, and will offer exciting services like shoe repair rental. The first phase of the new rewards program is expected next spring, and you will hear more details as we get closer to launch. Next, DSW has always offered our customers a broad yet [curated] [ph] footwear assortment at great values every day. But with our current fixturing package and layout, we utilize less than 20% of the cubic capacity of our warehouses. And while we have been very successful bringing our vast assortments like digitally, we know there are opportunities to help customers buying what they need by putting more of our assortment with an immediate access. To that end, we've been testing entirely new store design at one of our power stores here in Columbus. And the early results have been stunning. We have increased the capacity on the floor by over 30%, creating significantly more choices for the customer to experience. The new layout enables us to tell more compelling product stories and creates room for new and exciting ways to serve previously unmet customer needs. This initiative is a cornerstone to unlocking the power of the DSW warehouse with a synchronized and efficient infrastructure that virtually connects DSW with our customer at any point. It facilitates complete inventory mobility throughout the enterprise. We are working out all of the operational details and plans to start rolling our new store design to some of our largest warehouses. Finally, we are empowering our associates with tools that will facilitate customer's product discovery and decision-making. We are co-developing proprietary technology that freeze up more time for customer engagement by increasing operational efficiency. This technology puts customer-facing data such as personalized offers, wish list, and past purchase history, all in one place, finally, enabling the customer and associate experiences to converge across all mediums. Behind all of these initiatives are great people. We are strengthening our lead team and developing a high performance culture. I'm proud of the leadership team we have assembled today, and I'm confident this team will lead us towards our near and long-term goals. We expect our culture of accountability to translate in greater stewardship of the business. We are going to drive decision-making with smart data and exert discipline behind risk taking, expense management, and capital investment. We are also working hand in hand with our vendors to improve speed the market and help our partners move this fast to the customer and thrive in a period, where changes move at work speed. Our foundation is already built, and incurred on a disciplined business model with a pristine balance sheet and robust cash flow in a deliberate real estate portfolio, which puts DSW within 20 miles of 70% of the target population. With this foundation in place, I'm confident our passion for relentless innovation and entrepreneurial spirit will drive us to see this once in a lifetime opportunity to pursue our mission. And when we do, the result is simple: we will grow market share and profitability. With that, I'd like to turn the call over to the operator for our Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question will come from Paul Trussell of Deutsche Bank. Please go ahead.
Paul Trussell: Good morning.
Roger Rawlins: Good morning.
Paul Trussell: Roger, I can't say that I have the same seventh grade basketball story, but I do appreciate you sharing. I wanted to start off in just if you can help us understand, you know, your current marketing and promotional strategy, your inventory and clearance strategy as well, I mean, your results clearly showcase that you struck a nice balance and was able to increase margins, but there were also times during the period at least by our observations in which there seemed like there were some deeper discounts, or at least maybe a more aggressive of -- you were more aggressive in your approach to try to drive traffic. Just kind of explain how you did it, how we should think about the gross profit margins in the second half, especially with all the moving pieces of inventory levels down, Gordmans, the mix of Ebuys, et cetera? Thanks.
Roger Rawlins: Yes. So, Paul, let me first start, well, I think it all starts with product. And we have been talking for the last 18 months about focus, tempo, and disruption. We've used those words in every call, in every conversation we have with our associates. And I think it was probably six months ago I had a conversation with Debbie and said, we really, really need her and the team to focus on the women's part of our business. I think the work that Debbie has done with her team to get them focused, getting the right talent, getting the right product to drive the business, I think the urgency and tempo with which they operated, it sets the standard for our organization and how we have to operate. And ultimately, what she did was disrupt the marketplace. So, I'm so proud of her, I'm proud of the team, but rather than have her spend time on a call like this, or to be engaged in writing the script, we've had her very, very focused on the business and we are going to get after men's, we're going to get after accessories the same way that her and team have on women. So, what I would tell you is I think that was the first, the first part of what drove our results in second quarter. The other thing I would say in marketing, it is that about data, and we have the luxury of having access to 25 million rewards members. And being able to use that data to drive our business and drive traffic, that's what our marketing team, and they've just done a fantastic job. I mean, we are in a completely different place when it comes to traffic than everything we read out in the marketplace. So, it's about product, and it's been about our marketing team leveraging this weapon we have called the rewards program.
Paul Trussell: And then just on second half gross margins, if you can just detail that a bit more and also just add to it how you are kind of planning for women's footwear to perform in the second half, especially how we should think about the boot business? Thanks.
Jared Poff: Sure, Paul. This is Jared. What I would say is our second half gross margin is expected to still be challenged versus LY, but that it should improve versus the first half of the year. We think that the primary drivers of that decline are kind of evenly split. Half of it is related to some continued transition cost at Ebuys as well as the additional pressure from their -- bringing on their new distribution center. On the other half, the pressure comes from some elevated markdowns. As we mentioned on the call, we are looking to heavy up our marketing a bit versus LY in the back half of the year, and with that, we have assumed the need to take some additional markdowns. What I'm optimistic about is as you saw on the second quarter, if in fact we are -- we see abilities to chase, we see the ability to go after product that is trending and we can see some [reg] [ph] price selling, we are very optimistic to see what that might mean for the back half of the year. So, as we mentioned on the call, we kept that liquidity open, and that allowed us to chase into the trending sandal, and we are taking that same type of approach towards our fall business. So, I think that's…
Paul Trussell: No, that's helpful. Thank you for the color, and best of luck.
Roger Rawlins: Thank you.
Operator: The next question comes from Jeff Van Sinderen of B. Riley. Please go ahead.
Jeff Van Sinderen: All right, good morning, and congratulations on getting back to positive comps. Maybe you can just touch a little bit more on the athletic part of your business. I know you made some comments there. And was just wondering kind of where the penetration is running, how that is shifting in terms of mix, and if you mention more sort of fashion-derivative products, and just I guess, overall how we should think about athletic and athletic-derivative for second half?
Roger Rawlins: Yes. Jeff, I think if you go back and look at the history of DSW, we have always -- I would say, been underpenetrated to the total market in athletic, and we have continued to grab share there. So, I think a lot of the volatility that we are reading about in many other places, yes, that's something we are going to monitor and manage our inventory, but we feel like we still have significant market share that we can gain in that area, because we were so underpenetrated to where many of our competitors were. So, that's sort of the approach we are taking, we are remaining very liquid. We are still [holding] [ph] on some very important key items as we go through the fall season, but again, with Debbie and team very focused on managing and maintaining the liquidity, we feel pretty good about where we sit today with our athletic business.
Jeff Van Sinderen: Okay, that's helpful. And then, just as a follow-up anything you can give us in terms of performance in the smaller markets stores, any change there, and then I guess plans to roll out more of those?
Roger Rawlins: Yes, there is really -- I would say, been no change. Again as an organization we are very, very focused on our -- what we call our power doors, and love the fact that we have seen significant improvement there, and that trend continues to improve. So, our real focus as an organization has been on our power doors.
Jeff Van Sinderen: Okay, great. Thanks for taking my questions, and best of luck.
Roger Rawlins: Thank you.
Jared Poff: Thank you.
Operator: The next question will come from Steve Marotta of C.L. King & Associates. Please go ahead.
Steve Marotta: Good morning, Roger and Jared. Just piggybacking on the last question, what percent of your total sales is comprised by power stores?
Roger Rawlins: We don't disclose that. What we would tell you is it is not nearly as material as the percentage of our operating income that they represent, which is why as an organization we have been so focused on those. And then, what I love is, we are actually having conversations. The learnings we have taken from those power stores, we are now able to take to the next group of stores that would fall below that. So, we are really, really focused as an organization. And I love the fact that we had an impact on the Power 35, we are learning from it, and we are going to take it to the next level.
Steve Marotta: That's helpful. And also, you mentioned that there is new fixturing to be rolled out, and that could be rolling out to some of the larger warehouses, can you talk a little bit about timeframe for that, and if there is any disruption in the current pace of sales within those stores with the change of fixturing?
Roger Rawlins: Yes. Unfortunately, we only have one store, and so you can't really get a read, but what I would tell you is that one store where we have put in our new fixturing package or new, it's not just fixturing, it's a new way of operating. I've read in -- or somebody had put out something, I forget who it was, but had compared it to a Home Depot meets Nordstrom, and that is exactly what we were trying to accomplish. I would say we are probably around 20% to 25% of what our vision looks like for that space, but we love the results. It is our number one store in the chain right now. And I think all of us who had been in retail for an extended period of time, you see when you are doing a remodel or relo, you usually don't see that kind of a lift. So, by putting more products in, making it available to our consumer, we are really, really encouraged, but as you know, that's one store, that's not a test. And we are going to get it out as quickly as we can to some additional stores, but at this time I'm not ready to discuss timeframe.
Steve Marotta: Okay. One last question; given the guidance for flat comps for the balance of the year -- excuse me, for the entire year, that implies that the planned comps for the second half were roughly in that very low positive single-digit, is that accurate?
Roger Rawlins: That's accurate, yes.
Steve Marotta: Excellent, thank you very much.
Operator: The next question comes from Chris Svezia of Wedbush. Please go ahead.
Chris Svezia: Good morning everyone, and congratulations on the progress.
Roger Rawlins: Thank you.
Chris Svezia: I guess, first, I just want to talk about second half, more specifically the comment about some key marketing events to drive some additional markdowns. Is that basically -- have you bought inventory, whether it's private -- you know, private label or private brand or that type of thing to drive those additional markdowns? In other words, your inventory is clean for the DSW segment, did you just byproduct that you want to drive in the back half of the year with key marketing events that you bought specifically to be promotional launch, just can you maybe clarify that a little bit?
Roger Rawlins: Yes. Unfortunately, Chris, I'm not going to answer that, because that would be giving away some of our secret sauce for the back half, but we are looking at ways to be more competitive, and I'm really proud of the team as I think everyone knows in second quarter, one of our largest competitors runs a gigantic event that has changed the way people look at retail. And we competed in that period, and we grew our digital demand, which ultimately 60% to 70% of that demand was fulfilled out of the store, and there was a lot of violent pick-up and violent shifts to activity, but we competed in that time period in way we hadn't before. And so, as we look at growing market share, we are not going to stand on the sideline and let others grab share from us. So that we are working on, we have a game plan for how we are attacking the back half.
Chris Svezia: Okay. Just on boots, it does, I know Debbie is not on the call, but does she feel any differently, I think you are probably planning boots to comp down I would assume, has that plan changed based on any early rates or early thought process or any color about that category will be helpful?
Roger Rawlins: I would say I don't want to talk about an individual category, but what I would tell you, is we still feel very confident now, or we feel very confident now in our women's direction. And the results we've experienced in second quarter, and with the liquidity that we have, we have the ability to chase. And I remember the time periods back in '09, '10, '11, what were our heydays, I guess, if you look at from a public perspective, we were chasing the business all day long, and I love the fact that that's sort of the tempo that Debbie has our team operating at right now. So, if there is opportunity, we are going to be prepared to go after it.
Chris Svezia: Okay. Final question, just on the Power 35 stores, what's the -- you mentioned I think there is a 300 basis point delta relative to where [indiscernible] a year ago, is there any color, are they comping negative, and is there a plan for them to comp positive as you go to the fourth quarter, just any color about where they really are, where they really stand right now?
Roger Rawlins: Yes. That metric was versus the balance of the chain and that's really how we are looking at it, as you know when we look at -- when they are performing the best they were performing at several percentage points above the balance of the chain. We have closed the gap to where they were. So, they are now pretty much [writing] [ph] even with the chain, and we certainly have aspirations to bring them back to a leadership position. As I mentioned earlier, we are seeing the back half projected right now at a very slight positive comp, so you know, that's pretty much a chain-wide expectation.
Chris Svezia: Got it. Okay, thank you very much, and all the best. I appreciate it.
Roger Rawlins: Thank you.
Operator: The next question will come from Kelly Chen of Telsey Advisory. Please go ahead.
Kelly Chen: Hi, guys. Congrats on the improvement this quarter. Jared, I think you previously had talked about EPS, sort of full year being a 40-60 split, and obviously that kind of seems like lots has changed. But could you just give us a little bit more color on what your expectation is? What drove the upside here in the second quarter? Were there any shifts in timing for expenses or anything we should be aware of on that front?
Jared Poff: Yes. We kind of alluded to some of what overperformed, and that really was given our position to chase, and then our successful attempts in doing so. We really did see that [right] [ph] price selling come in at a nice healthy rate, and that drove a better overall margin. So, that more than offset some shipping headwinds that we saw. And then, as we mentioned earlier, we also had to take some charters related to Ebuys. As I mentioned a little bit earlier, in the back half, we are still expecting some headwinds versus LY, but those to get better than what we saw on the first half, and that's primarily going to be a split between additional Ebuys charges and then some markdowns on the heavy up with marketing. If in fact, however, we do execute on that ability to chase and we see some of the same type of attraction we saw on the second half; excuse me, in the second quarter, we think there is some upside from there. So, we are conservatively positioned. It is not a 40-60 any longer as you mentioned, obviously when you do the math, we are closer to our more historical average of almost an even split, but that's what we think is the best projection right now.
Kelly Chen: Great, thank you. And then, Roger, and to release this money, you talked a little bit about retail consolidation. I'm just wondering if you could talk through a little bit more about what happens in the marketplace, and how does it impacts DSW in the near-term as well as the long-term, specifically when doors are closing, do you see increased pressure on pricing and promotions? You talked I think a little bit about the marketings, are you doing proactive actions to try to gain share? And then within that, could you just update us on your total market share in the U.S. and just kind of thoughts on where you think that could go? Thank you.
Roger Rawlins: Yes. Kelly, I think as I mentioned on the call the -- we really have three things we are going after when we talk about what's happening in the marketplace. We talked a little bit about de-leveraging the warehouse capabilities that we have in the lab store where we have in Columbus. I mean the fact that we have -- we are utilizing less than 20% of that capacity, we've got to get more choices in our stores, we've got to get more sizes, we've got to accelerate our speed to customer, and being within 20 miles or 70% of the population of our customer base, we could have used that to our advantage. And I think the new fixturing packages we are working on are going to allow us to accomplish that, but also allow us to sell a in-storage and in-warehouse experience that aligns with what you see digitally. And that's really the first thing. The second is rewards. And you've mentioned competing on price or price adjustments. We monitored day in and day out where we sit from a pricing perspective, and we feel very good about where we are positioned. Our true value proposition is more than just the price you see on the sticker, on the case stocker, it's also the rewards relationship we have. It's the birthday [search] [ph] that you get, it's all of the different opportunities that you have to engage with our brand, but it's about creating experiences that differentiate DSW from the rest. So, how do we make these incredible warehouses, how do we build experiences through our rewards program that you cannot get elsewhere, and so, for us as we think about growing market share, when you combine those two things with the technology platform, that is unlike anything else that's out in the marketplace today, that is how we will grow market share; it's not about price, it's not about competing on saying every single day you can get the best price here for us, it's about creating a unique and differentiated experience that emotionally connects with our customer that allows him or her to inspire self-expression. That is how we will grab market share. As far as what our market share position is, we do not disclose that, but we have been growing market share over the last couple of years. The vast majority that has been through expansion of our warehouses, but we think if we're accomplishing our mission, we will grow market share.
Kelly Chen: Great, thank you.
Operator: Your next question comes from Dylan Carden of William Blair. Please go ahead.
Dylan Carden: Yes. Hi, how are you?
Roger Rawlins: Good.
Dylan Carden: Hi, how are you? Just ahead of some of the initiatives you're talking about in loyalty, can you just speak to the trends that you are seeing there, sort of currently whether or not Kids is bringing in a new member, any sort of reengagement of [going off] [ph] members?
Roger Rawlins: That's a great question. So we are really, really excited about our progress with Kids. It is doing exactly what we thought it would do, which is attract that customer into our business that was walking away from us, when they would have a child, a newborn child, or an infant, whatever in their household. And that's what we're seeing. So it's going to create an opportunity for us to keep that existing adult customer, but also introduce kids to our mix. So, we're really happy with the results. It has exceeded our expectations. And again, we are trying to grow that more aggressively into more warehouses.
Dylan Carden: And as far as sort of engaging them or the flow through to the loyalty program, is there any comment you can make there or is it too early?
Roger Rawlins: I would say it's too early is what I would say, Dylan.
Dylan Carden: And then, reengagement of sort of members that maybe hadn't been spending as much historically, is there any comment there to make or is it…
Roger Rawlins: No. I mean, we continue to run different programs to go after people who have either walked away from our brand or have not engaged with us in the last 12 to 24 months. But in general, again, we are very focused on leveraging the data we have in that program to drive you into our warehouse or through one of our digital experiences.
Jared Poff: I would add, Dylan, on there that we are seeing a similar usage rate and acquisition rate. So, our new member sign-ons, even with these customers continue to be the same, and our number of sales as a percentage of our reward -- or reward sales as a percentage of our total sales continue to be in that high 90%. So, we continue to capture that data as Roger mentioned, you know, whether they'd be a new customer or a lapsed one coming back.
Dylan Carden: Awesome, thank you very much.
Roger Rawlins: You are welcome.
Operator: The next question comes from Camilo Lyon of Canaccord Genuity. Please go ahead.
Pallav Saini: Hi, good morning. This is Pallav Saini on for Camilo. Thanks for taking our questions. My first question is how you are progressing on your speed-to-market initiative with your vendors? How are the vendors responding to it, and are you happy with the progress that you're seeing there?
Roger Rawlins: Yes. We are not going to get into detailed conversations around our work we're doing with our vendor partners. I would tell you there are a couple that we are working with that we are very happy with, but we are going to continue to push them to operate at a tempo that allows us to be ahead of the market, and that will create disruption we think for everybody.
Pallav Saini: Great, thank you. And the second question is, you commented in the release that you are building the infrastructure to mobilize inventory across all of your brands, can you elaborate on that comment, what exactly do you mean by that?
Jared Poff: Sure. There are multiple pieces to that, but one of those large ones that Roger mentioned on his part of the call was an initiative we are doing, we are co-developing a proprietary software package that will allow us to have full visibility all the way through the channel. So, inventory coming into a store, inventory that is moving from one store to another, it also will allow the customer experience what they can see online to match what the in-store experience when an associate is engaging with them they can look and see what have they bought, from where did they buy it, and what's on their wish list and all that type of stuff. So, that's a big cornerstone to part of that investment as well as the things that we've done already. I mean, our Web site redesign and the work that we're doing on the Ebuys Web site to be able to look at the different inventory that's sitting out there at the warehouses. So, there's lot of work streams going on and we're very excited about that progress.
Roger Rawlins: I think an important thing that we continue to discuss with our vendor partners, we are a brand of brands, we are here to lift up our brand -- our vendor partners. And being able to offer them options on how obviously they can sell in line goods, they can sell special make-up, but also how we can help them liquidate close out inventory in a unique and different way through all of the different offerings we have for the vendor community. Those are things we want to be able to have built out, so that we can be a one-stop-shop for them. And let's create a relationship with them where they would have no reason to go to anyone else for their ability to connect with a customer.
Pallav Saini: Great, thanks, and good luck.
Roger Rawlins: Thank you.
Operator: The next question comes from Patrick McKeever of MKM Partners. Please go ahead.
Patrick McKeever: Thanks, good morning everyone. Just on Kids, again, what -- you've got Kids now in 60% of the stores and planning -- you are planning to roll it out to an additional 100 stores in the spring of next year, what -- where have you settled in terms of the amount of square footage that you are putting, that you are devoting to kids footwear and what about the just the number of SKUs?
Roger Rawlins: Yes, I think -- what I would tell you is, the size of the box or the size of the space we need for them, no, really does vary based on market and the warehouse in which we are placing it. So, there -- I wouldn't say there's a real consistency to that. I think from a choice count standpoint, we are seeing that digitally I love the fact that I was just looking at this yesterday, our digital penetration in Kids has outpaced our warehouse penetration, meaning, by bringing it to the warehouse, where they can see it, it's driving people to our Web site where we are able to explode the assortment in a meaningful way. So again, it's the magic of what everyone calls omnichannel, for us that's just retail. And so, I feel really good about the growth in choice counts and the way in which we are managing the stores, it's not something that I think day in and day out would become a larger portion of our physical footprint, but I think it will continue to grow as a percentage of our sales.
Patrick McKeever: And then, did Kids have a meaningful impact on the comp in the quarter, the sequential improvement?
Roger Rawlins: Yes, it did. Yes is the answer.
Jared Poff: Yes, I would agree. We don't break that out, but it obviously was meaningful.
Patrick McKeever: And then just a second question on your stores in some of the bigger tourist markets like New York and Miami, San Francisco; anything notable there, I know that has come up in the past, I mean -- I think Q2, we went with some of the department store, so had seen some weakness in those stores, any change?
Jared Poff: What I would say and I would echo what Roger said earlier, and a couple of the questions I had answered, you know, those stores tend to be where you find our power stores, and you know the work and the focus that we are putting into those power stores, you know certainly paid results. And I think if there was pressure from that tourist side, we probably experienced that along with everyone else, but our focus did allowed those power stores to overperform and close the gap.
Patrick McKeever: Okay, thank you very much.
Jared Poff: You are welcome.
Operator: So, next question comes from Scott Krasik of Buckingham Research. Please go ahead.
Scott Krasik: Yes, hi, everyone. Thanks for taking my question.
Roger Rawlins: Good morning.
Jared Poff: Good morning.
Scott Krasik: So, one is more short-term, one longer term; I guess just sort of near-term you're changing your outlook for the back half for may be flat to down comp trends to flat to up, I'm trying to understand exactly what changed for you to make that change? And then one follow-up.
Jared Poff: Sure. What I would say is the our performance in the second quarter, and they opened by the liquidity that we are keeping in the back half gives us confidence that our execution plan can be -- it could be and should be maintained. But we are cautiously hedging with the additional marketing that I had mentioned before, and that may come with markdown. So, and that's kind of where we put all under the hopper and check out where our guidance is.
Scott Krasik: Okay. And then just, when you make all of the changes, implement some of the new store design fixturing, Roger, maybe can you talk about -- I think you have 2,000 styles roughly in the stores today. By the end of all of these changes, how many styles will you have, what percentage do you think will be men's, women's, and kids, athletic versus non-athletic? Thanks.
Roger Rawlins: Yes. Scott, I'm not going to get into the assortment mix, but what I can share is in the lab store, we went from roughly around 30,000 units to close to 50,000 units that were available to the consumer. And what we are excited about is that every metric by which you would evaluate one of your warehouses had seen improvement. And that's a positive thing, and that is because again, think about when you go from 30,000 to 50,000, when you are adding some choices, but you are also getting depth behind your key items. The product that would have been sitting in the fulfillment center that the only way it would have been visible would have been digitally. We are actually getting that in front of the consumer. So, the experience has driven traffic. It's driven conversion. It's driven AUR, UPT, all of those metrics. So again, it's not often that you see that kind of result. But that does not mean that's our expectation going forward. It's one location and then we've got to get it to some more doors to be able to really test it is what I would say.
Scott Krasik: Okay, thanks. If I could just sneak one last one in; any changes to either your competitive retailers or the online pure play in terms of free shipping for your turns, what's expected?
Roger Rawlins: No, Scott, nothing that I could point to, but I would say we feel pretty good about where we are positioned with all of that.
Scott Krasik: Okay, good luck.
Roger Rawlins: Thank you.
Jared Poff: Thank you.
Operator: The next question comes from Christian Buss of Credit Suisse. Please go ahead.
Christian Buss: Yes. Could you talk a little bit about [technical difficulty] provide an update on the new buying system and platform, how that is up and running, and what kind of progress you've made there?
Roger Rawlins: I'm sorry, Chris, you cut off. I think the question from what I got at the end was this, about our buying systems and the things that we implemented, is that correct?
Christian Buss: Yes. And also, how Ebuys is being integrated into your buy?
Roger Rawlins: Oh, okay, okay. Yes, I think we talked about this -- gosh, probably a year ago about the distraction that we felt a lot of the work we had done, which was necessary work around planning and assortment planning tools have distracted our merchant and planning organizations, and we have really stabilized that. I love the fact that we were not recruited; I will tell you a world-class team in planning in allocation space, I'm really proud of the team we have there. And we have stopped touching those systems, meaning, we are not tinkering with them anymore, and we are actually using them. So, that I think has created a real focus for the team, and eliminated a lot of distractions for Debbie and her team. So, I feel really good about the progress we've made there. As far as Ebuys right now, what I would tell you is the work we are doing there is us learning the business, understanding how we can use it most effectively to drive business for all of our brands, how we can use it to engage differently with the vendor community, but there's not a whole lot of work right now we are doing, I would say, to get them on to our buying systems; frankly, they're two completely different types of businesses. And when I flashback to 11 years ago, when I started here and we were using Excel to plan the business, because the vast majority of what we were doing was closed out, and you couldn't plan it, that's the way we operated Ebuys. So, I think -- I don't envision us going down that path with Ebuys anytime in the near-term.
Christian Buss: Great. Thank you so much, and congratulations on a nice quarter, yes.
Roger Rawlins: Thank you.
Operator: The next question comes from Jay Sole of Morgan Stanley. Please go ahead.
Jay Sole: Great. Thank you. Roger, those are some of the interesting comments you made about to differentiate that omnichannel is at the top of the call, and so, I was just wondering if you can dig into it, and maybe offer some really some statistics and quantify, you know, how much of a differentiator it is, because the question really is it's just going to slow the transition to pure online selling, or can you really stop it, and can you get to a point where omnichannel and your store base and like you said 20% -- you know, 70% is within 20 miles, can it really be something that really is something that the online guys can't really match going forward, which really maximize the true potential of omnichannel?
Roger Rawlins: Yes. Jay, I think the answer to that question is yes. I think it is something that a pure play you cannot match. And I think that's why you see many of the pure plays getting into this space, where they have a location that they can open to the consumer day in and day out. So, I'm proud of the fact that our organization [indiscernible] recognized us as the number one omnichannel, an omnichannel retailer in the country. I would tell you we do not use that term here, because it is just retail, it is about our customer. And when you have 70% of all of the engagement of people who come to a store, 70% of them engaging with you digitally, as part of their experience, you can't think of it is stores versus dotcom. That's just not the way in which we operate as a business. So, I think it is a huge competitive advantage for us, and I think we've demonstrated with the work we've been doing and that roughly 50% to 60% of our digital demand is being fulfilled from a -- what has been historically called the brick and mortar location that we have the ability to buy online pick-up, buy online shift to all of those things that we have spent the last several years building out. We are making those come to life in a meaningful way. And when you add into that a whole new customer-facing technology that's in the physical warehouse that will allow that consumer to find their product more efficiently to pick up the product more efficiently, and more importantly give our associates information about that customer, we think the combination of those things, it is a clear differentiator. And we got to execute against that, and make that come to life, but that's where we are playing. We are leveraging the fact that you know what we are proud of that, that we have warehouse across this country and layering on a digital platform on top of that, that is unique and different, we think that differentiates our brand.
Jay Sole: Roger, if I can just follow-up, because as you said 70% of your consumers are engaging online, is there a direct home and they are researching what to buy, can you just take us through the mind of the consumer how they think that makes them say, you know, what rather than just buy this here or -- I'm going to get in my car and I'm going to go somewhere, and I'm going to go buy -- and how do you feel confident that's going to remain the same whether -- rather than maybe five years from now or two years from now, whatever case that [indiscernible] just confident in the delivery, I'm just going to buy here and I'm going to buy online with DSW.com and I really don't need to go the store anymore?
Roger Rawlins: So, I think, Jay, this is my opinion. Other than the roughly 16,000 associates we have in this business, the second largest asset we have is the data infrastructure on 25 million rewards numbers. So, if there is anyone that should be able to read how that customer is reacting, how they are engaging, how they are using digital to influence their brick and mortar experience or vice versa, it's us. And so, I guess, my answer to that would be, we have all the data that we would need to understand what that customer is looking for and how we positioned ourselves to meet that demand. Again, that's not enough to execute against that, but a lot of people get credit for their ability to play in this space in data. We have our foundation. I mean, it's genius 25 years ago, whoever's idea it was, kudos to them, but we started the rewards program before anyone had died in the space, and we have all this data, we've got to figure out how we leverage it more efficiently and effectively to meet that customer's demand, so that we know in advance where they are heading, that's what I would tell you, Jay.
Jay Sole: Interesting. So, it sounds like you are saying the question is in stores versus online. It's really the battle who owns that customer relationship, and you are saying with the data that you have and the multiple ways you have for fulfilling customer needs, you can do it better than some of your -- some of the online pure play competition that they will be judged on?
Roger Rawlins: I absolutely believe that.
Jay Sole: Okay. Thanks, Roger.
Roger Rawlins: Yes, thank you.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to Roger Rawlins for any closing remarks.
Roger Rawlins: Thank you. Thanks everyone for all of the questions, and again, to our associates listening on the call, let's keep the momentum going and let's have a great fall season. Thank you and everybody have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines. Have a great day.